Operator: Hello, everyone, and welcome to SelectQuote Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] It’s now my pleasure to introduce, Matt Gunter, SelectQuote Investor Relations. Mr. Gunter, you may begin the conference.
Matthew Gunter: Thank you and good morning, everyone. Welcome to SelectQuote’s fiscal third quarter earnings call. Before we begin our call, I would like to mention that on our website, we have provided a slide presentation to help guide our discussion. After today’s call, a replay will also be available on our website. Joining me from the company, I have our Chief Executive Officer, Tim Danker, and Chief Financial Officer, Ryan Clement. Following Tim and Ryan’s comments today, we will have a question-and-answer session. As referenced on Slide 2, during this call we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and investor presentation on our website. And finally, a reminder that certain statements made today may be forward-looking statements. These statements are made based upon management’s current expectations and beliefs concerning future events impacting the company and, therefore, involve a number of uncertainties and risks, including but not limited to those described in our earnings release, annual report on Form 10-K, quarterly report on Form 10-Q for the period ended March 31, 2023, and other filings with the SEC, therefore the actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. And with that, I’d like to turn the call over to our Chief Executive Officer, Tim Danker. Tim?
Timothy Danker: Good morning and thank you all for joining the call. As you saw in our press release, SelectQuote delivered a strong third quarter and continues to post results that are better than internal forecasts. Management and the board couldn’t be more pleased with the execution against the strategic redesign and the continued momentum from AEP into OEP, which is our second highest volume quarter of the year. Better yet, we’ve driven consistent improvement in results over the past 5 quarters and firmly believe the company is well positioned to produce more predictable, profitable and cash accretive growth in the quarters and years ahead. That all said, the past few weeks have driven a lot of confusion in the market about the Medicare Advantage industry. I’d like to address some of those topics up front in my remarks, which we hope will be helpful, especially in considering the significant achievements we’ve made this year and plan to build upon in the years ahead. First, our value to the Medicare Advantage insurance carriers is critical when viewed through the lens of volume, capacity and scale. Not all brokers in our industry are created equal, and we firmly believe SelectQuote’s value as a significant source of quality volume is durable and strategic to the Medicare Advantage insurers. We know this because of the ongoing planning we are doing jointly with our carrier partners for the upcoming season and the role we expect to serve for America’s seniors. To that point, Wellcare recently named SelectQuote to its preferred sales and distribution partner program, which we feel serves as evidence of how SelectQuote’s differentiated agent and data-focused approach generates scaled volume at high quality. This competitive advantage and value is recognized by each of our carrier partners and we believe will be a market share generative difference for our company in the future. Second, shopping or switching behavior by certain Medicare Advantaged customers does occur is one of our carrier partners noted this quarter. We’ve known this since the inception of our Senior business, and it’s important to remember that a key pillar of SelectQuote’s strategy redesign over the past year was to refocus marketing and lead routing based on data that correlates with persistent policyholder behavior. Simply put, we have better line of sight and ability to impact results than perceived by investors. This strategic tenant is one of the major drivers of the improved financial results we have achieved in fiscal 2023. Lastly, regarding the rules proposed by CMS in December last year, SelectQuote has consistently excelled in compliance and customer service. To my planning comment just a second ago, we’re working closely with our carrier partners to ensure that any necessary changes are incorporated in our joint strategy for the upcoming season. Remember, CMS regularly updates rules and we and our carriers are accustomed to intra-season changes as part of our normal preparation. Ultimately, we agree with industry comments that the new proposed rules will drive better quality and rational competition in our industry, which again should result in increased share for SelectQuote. To summarize, contrary to the noise in the equity markets, SelectQuote has made material progress in the past year relative to our strategic goals, and the company has never been better positioned across all business lines to drive profitability, cash flow and significant shareholder value, especially from these levels. So with that as a preamble, let’s discuss SelectQuote in our very strong results for the quarter. If we begin on Slide 3, let’s review our consolidated results and highlights for the quarter. Similar to last quarter, our results were better than expected across the board. Consolidated revenue of $299 million and adjusted EBITDA of $44 million were both driven by our strategy to deliver operating improvements and follow through from a strong AEP. The key performance indicators for our core Senior business were incrementally better for the 5th consecutive quarter, highlighted by agent close rates improving 12%, marketing cost per approved policy down 17%, and total cost per approved policy better by 12% year-over-year. It’s important to recall that we took significant action fall in our results in AEP 2021 to reconfigure our sales agent force and deploy those tenured agents at leads generated by refocus marketing and targeting. Those efforts yielded significant improvements in close rates and other key metrics last OEP. Despite significantly tougher comps on close rates and expense metrics, we still delivered year-over-year improvement again this quarter. As noted over the past year, we hold ourselves to a standard of continuous improvement going forward, but there is a firm foundation for our company to stand on, and we’re excited to deliver on the potential that we know our platform is capable of. Our Senior business also continues to demonstrate better stability and policyholder retention, which you will recall is a key focus of our strategy. Retention rates have increased largely because of the strength of our customer underwriting. As a result, our MA LTVs increased 11% sequentially, or 3% year-over-year to $965, and year-to-date approval rates for new policies are up about 450 basis points compared to a year ago. Ryan will speak to this in more detail, but fourth quarter LTVs are estimated to come in sequentially lower due to normal seasonality, it’s still better year-over-year. This gives us growing conviction that we will hit our $875 full fiscal year LTV guide. Probably most encouraging, we are seeing the actions we took on the sales, marketing and operational fronts to improve new business retention rates really start to take root. Year-to-date, we have observed meaningful improvements in both the leading indicators such as our customer risk scoring algorithm as well as lagging indicators such as policy approval rates and 90-day active customer rates. While customer retention will remain an ongoing focus, we are encouraged by the progress we are making. In our Healthcare Services segment, SelectRx continues to show broad-based adoption with nearly 45,000 members. We’re pleased with the sequential growth but would remind everyone of the strategic decision to slow growth from here to prioritize profitability. To that point, we’ve already seen that effort yield results as Healthcare Services revenue for the quarter more than tripled year-over-year to $71 million, and we remain well on track to approach breakeven as we head into fiscal 2024. It’s worth noting that cash collection for the business is highly efficient. Furthermore, as the Rx business and customer base matures, our ability to improve margins and cash flow on an incremental customer basis become significantly more attractive. Overall, we believe the Healthcare Services segment headlined by SelectRx represents a defining proof point to the synergy of our customer focused model and the information value we provide to both the healthcare insurance and care provider industries. This high level of synergy between our MA distribution and Healthcare Services platforms is truly unique for the industry and demonstrates the long-term value creation potential SelectQuote can deliver. The ultimate proof will be in the future profitability and scale we see possible within such a large addressable market. But from where we sit today, the opportunity to improve the lives of Americas over 60 million seniors is as compelling as it is rewarding. Lastly, as highlighted in the release, we are increasing our full year fiscal 2023 guidance ranges to $950 million to $970 million in revenue and $40 million to $50 million in adjusted EBITDA at the respective midpoints. For background, the new guidance represents a $60 million increase for revenue and a $50 million increase for adjusted EBITDA at the midpoint from our original guide given during fiscal fourth quarter 2022. As one important additional note, we would emphasize SelectQuote is now ahead of schedule and our goal to drive positive cash EBITDA for fiscal 2023 again a good step forward in what we believe is just the beginning of what our model can achieve. If we turn to Slide 4, let’s review the key performance indicators for our core Senior MA business. As planned, we slowed growth year-over-year, but we’re happy to produce policy counts above our internal forecast for OEP based on the efficiency generated by our strategic redesign. SelectQuote generated 166,000 MA policies at an LTV of $965. The LTV pickup of 3% was primarily driven by carrier mix and improved persistency similar to our experience in AEP. The key takeaway from our view is that these metrics have improved significantly both in terms of predictability and stability. Remember that a key priority at the strategic redesign was to build processes that can be scaled, while ensuring profitable return on invested capital and cash flow. Our results through this year’s AEP and OEP did just that, and our ability to onboard more policies than originally expected was a meaningful validation of the strategy. We firmly believe SelectQuote has built industry-leading durability and our newly originated policies given observed improvement in persistency as well as the 15% constraint we apply in our modeling. We will detail the changes we have made in our policy onboarding and mix. But the most important point is that we have a much higher degree of confidence in our booked LTVs, resulting commissions’ receivables and the ability to produce compelling returns than ever before. If we turn to Slide 5, let me give some additional detail on the key metrics that drove our success in Senior profitability and LTV stability. We present these metrics on an LTM basis to illustrate the fact that our redesign strategy can and has produced steady sustainable results over several periods, not just within a single given quarter. First, on the left side of the page, we delivered another quarter of significant year-over-year reduction in operating expense per approved policy, which includes the 2 major costs of our business, agents and marketing. Operating costs per approved policy decreased 12% year-over-year and 29% on a trailing 12-month basis. In the middle of the page, we isolate our marketing expense per policy, which improved 17% year-over-year and 36% on an LTM basis. Recall, last quarter we generated a 50% improvement over the same period. Results this period were driven primarily by our tighter screening and focus on quality leads and customers. These are very encouraging metrics, which allowed us to scale higher volumes than originally forecasted. Moving right, our agent close rates were approximately 28% higher year-over-year on an LTM basis. The improvement is primarily a function of our strategy execution this season, highlighted by earlier hiring ahead of AEP and a much higher mix of core tenured agents. These initiatives drove substantial gains in agent efficiency, which we believe are durable in a range of Medicare Advantage seasons. As mentioned in previous quarters, the important takeaway from both the year-over-year and LTM results is that our strategy is producing policies at costs that drive very attractive returns. The reduction in our operating cost metric is the key driver behind the 32% EBITDA margin generated this quarter for the Senior division. For a point of reference, that margin and the 37% margin achieved in the second quarter compares similarly to margins produced in fiscal 2021, but at LTVs that are nearly 30% lower. To reiterate the point, we feel really good about the durability we’ve built into our core Senior returns and see a lot of opportunity to do the same in the future. Turning to Slide 6, let’s take a minute to review the improvements and retention metrics since implementing our strategic redesign last fourth quarter. While SelectQuote has adopted a continuous improvement approach within our ongoing operations, we’re very proud with the progress made to date. Our efforts over the last several quarters position the senior distribution business well to deliver compelling returns and results within a wide range of selling environments. Let’s begin with our segmentation and consumer targeting efforts developed by our data science team. By analyzing dozens of qualitative and quantitative factors, our models are able to segment consumers into various transactional categories based on lifetime persistency estimates. We estimate that higher transactional consumer segments demonstrate 90-day lapse rates that are more than double the rates of lower transactional categories clearly a material difference. Year-to-date, the mix of our high transactional category decreased by 19%, compared to year-to-date fiscal 2022. In addition, the very high transactional category, which has the highest 90-day lapse rates decreased by more than 70% over the same period, these positive changes in mix are driven by new target marketing tools and a higher quality lead routing to our best agents. A year-over-year increase in the mix of tenured agents also benefited our retention. During the 2022 AEP selling season, tenured agents represented 70% of the overall mix versus just 20% during the 2021 AEP season. As we’ve discussed in the past, tenured agents have materially higher approval rates and 90-day active rates compared to non-tenured agents. That being said, improved agent onboarding and training tools have also led to increased productivity and retention metrics amongst our flex force, who continue to play a critical role in our ability to scale during peak periods. This change in mix and enhanced training efforts have helped drive a 450 basis point improvement in overall approval rates since the start of our redesign efforts. Post-approval, we have also seen an increase in 90-day active rates of about 875 basis points over the same period. Similar to AEP, the lion’s share of these improvements can be tied to our new tools, which drive a better mix and quality of policies produced more so than to the overall strength of this year’s Medicare Advantage season. With that, let me formally congratulate our CFO, Ryan Clement, who was officially appointed back in February. As you all know, the announcement was largely a formality, given how integral Ryan has been to SelectQuote. That said, the title is more than earned and we’re lucky to have him. With that, let me turn the call over to review our financial results in more detail. Ryan?
Ryan Clement: Thanks, Tim. And as you well know, I’m very excited to continue our work to leverage SelectQuote’s model and drive the growth and value we all know is achievable. With that, I’ll begin on Slide 7 with a review of our consolidated financial results. As Tim noted, it was another strong quarter for SelectQuote with revenue growth of 9% to $299 million. This is the third highest revenue quarter in company history and trails the second highest from last quarter by just $20 million. The reason for the comparison versus last quarter is to highlight that SelectQuote has not only improved the quality of our core Senior business, but we have also made great strides to reduce the volatility and seasonality in our overall financials with the growth of our Healthcare Services business, increasing visibility and generating consistent returns through a range of Medicare Advantage seasons is a critical ask from our investors and we are very pleased to have delivered on that ask this season and even intra-quarter from AEP to OEP. To that point, our profitability of $44 million in adjusted EBITDA represents a consolidated margin of 15%, which is significantly improved despite the drag from our ramping Healthcare Services business, which I will summarize in a moment. If we move to Slide 8, you can see the financial performance in our Senior business. As Tim mentioned, the planned step down in growth was again smaller than expected, driven by the efficiency and persistency gains our model has achieved to date. Our Senior revenue of $185 million, while lower year-over-year was still the 5th highest in company history and is also all the more impressive as the LTVs associated with these revenues are nearly 30% lower compared to the revenues booked pre-2022. To reiterate Tim’s point, there is a lot of excitement in the organization about SelectQuote’s ability to drive highly profitable unit economics with a greater mix of core tenured agents and refocused customer targeting. The positive surprise for us this year has been our ability to scale higher volume without taking marginal risk, which we believe is very encouraging for both SelectQuote and the overall industry. While results from the redesign have led to strong efficiency and top-line performance, we remain disciplined on the expense front. As we move to the right of the page, the Senior division delivered 32% adjusted EBITDA margin in the OEP quarter, which is roughly on par with our historic peak profitability. $59 million in adjusted EBITDA represents year-over-year growth of 48%, which is impressive in our view, given MA policy volumes were 16% lower year-over-year. That’s an important comparison to reflect on for a minute, as it’s the prime example of what our strategy aims to achieve predictable returns and cash flow in favor of growth. We’ll put another way EBITDA growth over revenue growth. Turning to Slide 9, let me review the KPIs of our growing Healthcare Services business, highlighted by SelectRx. As we discussed last quarter, we have decelerated new membership enrollment to accelerate scale and profitability for the business. As a result, we would expect the number of members to stabilize in the near-term, but those numbers will continue to mature. That said, SelectRx now has nearly 45,000 active members, which is up 14% compared to last quarter and 165% versus a year ago. Engagement with members continues to mature and improve as well. This penetration is best seen in our revenue growth, which is beginning to outstrip member growth based on the maturity lag. For instance, revenue in the quarter for Healthcare Services of $71 million was up nearly 30% sequentially or doubled the rate of member growth. This trend is even more pronounced year-over-year, where revenues expanded at an even faster pace than the rate of member growth over that period. To Tim’s prior point, the business is becoming more efficient, as evidenced by the sequential improvement in quarterly adjusted EBITDA. The progress is in line with our plan, and we remain confident that the segment will break even as we move into fiscal 2024. As you can see in the orange bars, we made a significant stride this quarter, improving our EBITDA drag by two-thirds. Lastly, it is important to note the increasing cash contribution from Healthcare Services. We’ll speak to the progress we’ve made on our consolidated cash efficiency in a minute, but I wanted to leave this page with the reminder that our SelectRx business is highly cash efficient. And this efficiency will only improve as the business continues to scale and absorb the setup and member acquisition costs we’ve invested in over the past year or so. Let’s now turn to Slide 10 and speak to our Life and Auto & Home segments. Revenue in both segments was relatively unchanged compared to a year ago, as we instituted the same playbook used in our Senior business to focus on EBITDA growth over revenue growth. Drilling deeper into the Life segment, the results were driven primarily by a 17% year-over-year increase in term life premiums, which materially outpaced market growth in the low-single-digit range, partially offset by a decrease in final expense premium as we continued to right size our agent force and marketing efforts in line with our broader company strategy. The strong performance in term life is the result of an optimized marketing mix that has resulted in better close rates and average premium face values. In addition, we are seeing strong demand for our swift term select offering the instant decision point of sale term life insurance product launched in partnership with Symetra Life during the fourth quarter of calendar 2022. More importantly, as mentioned, both the Life and Auto & Home segments followed the trend of our Senior business, where an increased focus on cost efficiency drove a meaningful year-over-year improvement in profit contribution. Specifically, our combined Life and Auto & Home divisions drove $8 million of adjusted EBITDA compared to a $2 million drag a year ago. It’s also important to note both segments are positive cash EBITDA contributors as well. Turning to Slide 11, I’d like to take a minute to speak to how SelectQuote’s execution against our strategic redesign has improved the cash efficiency of the business and positioned us well to deliver long-term value creation for shareholders. Starting with cash efficiency, as Tim has outlined for the past year plus, each of the pillars of our strategic redesign have been focused on improving SelectQuote’s return on investment and cash flow. On this slide, we look at the strides we’ve made on efficiency through three different views. First, our fiscal year-to-date adjusted EBITDA has improved significantly over the past year to $80 million, compared to a loss of $200 million year-to-date during fiscal 2022. Second, on a cash EBITDA basis, SelectQuote has generated $97 million year-to-date, which is a material improvement over fiscal 2022. It is important to remember that the fiscal fourth quarter will be a drag on adjusted and cash EBITDA due to normal seasonality as we invest to position the business for a successful 2024 AEP season. As we stated previously, getting the cash EBITDA breakeven for this full fiscal year was a key milestone for the company, and we fully expect to deliver on that promise. Third, SelectQuote continues to collect a higher percentage of total revenue within the first year of writing a policy. Year-to-date, we received 62% of expected Senior revenues in the first year, up 10 percentage points from fiscal 2022. This dynamic increases the confidence we have in the ongoing cash generation potential of our holistic platform. And to the point of liquidity, we ended the quarter with a cash balance totaling $92 million, which provides adequate capital to fund our plans for 2024. SelectQuote also remains well positioned to deliver long-term value creation for shareholders, evidenced by our commission receivable balance, despite all of the progress made from a cash efficiency perspective, our commissions receivable balance has remained essentially flat year-over-year and currently stands at $822 million. Lastly, if we move to Slide 12, we are pleased to update our full year fiscal 2023 guidance ranges again on the heels of another quarter of outperformance versus internal expectations. As Tim and I have alluded to a few times in these remarks, we are very excited by the progress we’ve achieved this year and are looking forward to talking more about 2024 next quarter, as we continue to leverage our strategy and scale our Healthcare Services segment. For 2023, our revenue range for the full year is now $950 million to $970 million, which is up $100 million at the bottom end and up $60 million at the midpoint compared to our original guide given 9 months ago. For net loss, the same applies with a new range of $68 million to $48 million, which is $45 million higher at the lower end and up $43 million at the midpoint. Finally, our full year adjusted EBITDA range is now $40 mi to 50 million, up $60 million at the bottom end of the range and up $50 million at the midpoint. Also, as a footnote for the implied 4Q modeling, we remind analysts and investors of our comments last quarter about investment for the 2024 season. As a refresh, based on the success of our early agent onboarding, we plan to do more of the same to prepare us for next year’s AEP season. And as a result, there will be some pull forward of expense in the fiscal Q4 2023 compared to previous years. The expected benefit aside from improved efficiency and policy quality will be less comparative expense drag in fiscal first half 2024. That concludes our prepared remarks. Let’s get to your questions. Operator?
Operator: Thank you. [Operator Instructions] Okay. We have our first question comes from Jonathan Yong from Credit Suisse. Jonathan, your line is now open. Please go ahead.
Jonathan Yong: Hey, thanks. And congratulations on the strong results here. So, I guess, to start, I appreciate all the commentary on the CMS marketing rule that kind of came out. From your perception, what does the rule change for you? And, I guess, how are you thinking about what the impact would be? Or is it really diminished in your mind that you and the carriers are going to be able to work together to really work around any issues kind of in any given year with this rule that came out?
Timothy Danker: Hey, Jonathan, good morning. This is Tim. Great to have you on the call and thank you for the high quality question. I’ll make a few comments and then maybe also ask our Chief Operating Officer, Bill Grant, to speak on this. But overall, our perspective I would share is, we’re 100% aligned with what CMS is striving to achieve, trying to improve the beneficiary experience, improve transparency. We also don’t see a world in which anyone wants to make it more difficult for Seniors to access MA. We’re very accustomed to changes in regulation. We’ve been in this business for a long time. And I think overall the good thing is everybody wants to accomplish the same thing that transparency and choice for the consumer. So we’re going to continue to work very closely as we have been with our carrier partners. We’re going to ensure we stay lockstep on any necessary modifications. But we do feel that our underlying process and approach has us very well positioned. We view this very much as a manageable event. Bill?
William Grant: Yeah, I’ll just echo what Tim said. We’ve been working with our carrier partners since kind of the initial draft of some of the rules have come out. We’ve been navigating changes for years and feel like we’re in a really good position to be able to execute our strategy both with the changes that are presented now and potential future changes. So feel like we are really like, where we are and that our model sets us up to be able to navigate those and do a variety of things to operate successfully within any environment.
Jonathan Yong: Okay, great. And then just turning to the Wellcare preferred distribution partner program, what does this mean for you and how does this make this different from your prior relationship and any color on it? Thanks.
Timothy Danker: Sure. I’ll start Jonathan and hand it off to Bob Grant, our President. Quickly, I think overall it points to a general theme that you’re seeing in the industry and really the managed care organization’s flight-to-quality. We think this validates our model, our critical importance to the ecosystem, and I think it’s a proof point of our combination of quality and scale. Bob?
Robert Clay Grant: Yeah. Good question on how will it really change our relationship. And I would say from a distribution standpoint, it really won’t because we obviously are a choice platform, who will distribute the policy that makes the most sense for consumers as competitive as a carrier, that’s really the mix that they get. What it does change, though, is really to Tim’s point, that flight-to-quality and I’d say partnership on quality and experience of onboarding. We will continue to invest with Wellcare-Centene to create a greater customer experience that should improve 90-day persistency even more than we already have. And, I think, Tim and Ryan really walked through improvements, we’re seeing that across the board, including carriers who struggled with that in the past, and we believe we can make even more material strides on that as we partner with them to create a really seamless consumer experience.
Jonathan Yong: Great. Thanks.
Operator: [Operator Instructions] And our next question comes from Daniel Grosslight from Citigroup. Daniel, your line is now open. Please go ahead.
Daniel Grosslight: Hi, guys. Thanks for taking the question, and congrats on the strong quarter here. Maybe more of a macro question for you. Given the advance rate notice and some stars had wins, I think it’s safe to assume that we’ll see a slowdown in MA growth, and some carriers have, as commented on that for plan year 2024. Realizing you’re not guiding for 2024 quite yet, I’m just curious how you’re thinking about MA growth in general for 2024, and then specifically, one of your major carriers, Centene-Wellcare announced that they will be slowing growth pretty dramatically for 2024. It’s been a little while since you filed your last 10-K, but I’m curious if there has been any material change in the percent of your revenue that Centene represents, I think it was around 19% in your last 10-K. Thanks.
Timothy Danker: Yeah, Daniel, good morning. I’ll start and then hand it off to Bob for the question around the rate notice. But again, as you said, we’re not at this point guiding to fiscal 2024, and we’re happy to do that in August. But I do think we’re very well positioned, I think, when you look at the last 5 consecutive quarters, we really believe that our foundation is very strong across all of the major elements of the business, and we’ll share more about that growth trajectory. But we just reiterate that we feel the changes that we’ve made over the last 5 quarters, I think demonstrate the strength of that foundation. We are going to continue to stay focused on these improvements in unit margins, profitability over growth, but we still see, certainly, growth potential. Bob?
Robert Clay Grant: Yeah, I mean, I think that’s a great point. And to your point, Daniel, on a general slowdown, right, one, the advanced rate notice ended up being a little bit more favorable than the carriers originally looked at. I’d say also, as you know, there’s a little bit of a disparity between certain carriers and the impact of that to others. And what we’re hearing is to Tim’s point, they are going to focus on quality growth kind of across the board, which we feel like we can provide, as evident by Centene saying, “Hey, we’re going to slow down overall, but then also separately announcing that they’re going to partner with us more closely.” I think that’s going to be a fairly consistent thing, where carriers are going to really hone into their benefits. They’ve made a lot of investments in other assets that can really help consumers and they are going to focus on the producers like us that can create an integrated customer experience and put up quality policies with good 90-day persistency in a unique portion of the marketplace that we sit in. So we don’t feel like it’s going to be a deal for us at all. We feel really, really good about this upcoming year. I don’t know if that’s going to be the case kind of across the board, but we feel really good about our positioning going into this next year.
Daniel Grosslight: Yeah, that makes sense. You mentioned that you’re seeing good productivity out of agents, not just your core agents, but also flex agents too. I’m wondering if you can help size us for the full year, what percent of your agent force will be core versus flex. And how are you thinking about that for the full year 2024? And are there any metrics you can give us around the differential in close rates or productivity between core and flex agents?
Robert Clay Grant: Yeah, so great question. Our core agents typically are more productive than our flex agents. This most recent year, we went in with a more senior group of agents, and obviously the results were incredibly strong. We did take a different approach to hiring onboarding, and as shared – in Q4, we’re running that play again, right. We’ve recognized that a lot of the tactics used this most recent plan year work really well, so we’ll continue to execute on that. In general, our core agents are 1.5 to 3 times more productive. But again, with the recent strategies and onboarding, we are seeing the flex agents perform closer to being in line with the core agents. So really, really pleased with how the onboarding process has worked with past year.
Daniel Grosslight: Yeah. And are you able to share the split between core and flex for this full fiscal year and what you’re thinking about for next fiscal year?
Robert Clay Grant: We’re not guiding on fiscal year 2024. We look forward to sharing additional details in the next quarter. But at a macro level, the most recent AEDC [ph] then we were north of 70% in the core category, so meaningfully higher than years past.
Daniel Grosslight: Got it. Thanks for that.
Timothy Danker: I think as a general theme, Daniel, we kind of indicated last quarter, managing the business more around a year round, agent force less peaks and valleys than we had historically. That’s really the way we’ve been running this year. And Ryan’s point about the playbook, it’s certainly working, and we plan to continue down that path.
Daniel Grosslight: Yeah. Makes sense. Thanks.
Operator: Our next question comes from Ben Hendrix from RBC. Ben, your line is now open. Please go ahead.
Ben Hendrix: Thank you. Just specifically about the work you’ve done with carriers ahead of the CMS rule and the changes you’ve made to ensure compliance. From a consumer perspective, what specifically changes based on what the work you’ve done with the carriers? If I’m a consumer and I come onto your platform, what specifically changes in terms of the way I engage your platform or the way your agents communicate with the carrier going forward?
William Grant: Yeah, I can take that. This is Bill. Really from a consumer perspective right now in the way we’re discussing, there’s not much that would change in terms of the way that they engage with us. Obviously, there’s still some things that we will get clarity on in terms of that you’ve seen the things around inbound versus outbound, and some of those things and obviously we’re working really closely with them. But we feel like no matter what those end up or any changes in the future, we’re well positioned to be able to navigate those and work with the consumers. But I think in terms of the way they initially engage, it’s very, very little change, if any. And again, we feel like we’re lockstep with the carriers and understand what CMS is trying to accomplish and thing that we’re well positioned to be able to do that, right. Then, we confidently know that CMS wants to be able to provide transparency and real time feedback to those consumers. So we think as we navigate it, we’ll be well positioned to do that.
Ben Hendrix: Thanks. It’s just clearly a lot more throughput on better overall expense. I was wondering if you could just kind of help us get an understanding of kind of how fixed and variable cost kind of progress and how should we think about that from a modeling perspective going forward into your new guidance?
Timothy Danker: Yeah, maybe I’ll…
Ryan Clement: It’s from a…
Timothy Danker: Go ahead, Ryan.
Ryan Clement: No. You go ahead, Tim. I will follow-up.
Timothy Danker: Yeah, I was just going to say overall, Ben, just like thematically how we’re driving these improvements and unit costs. And again, we continue to see very focused on our marketing both the customer segmentation drive into the highest ROI sources, but also great job by Bill and his team on disciplined cost management. I think we’ve hit on the agent side today, very proud of what our agents are. Agents are performing. The mix of those agents, we’re seeing very low attrition rates and all of this efficiency, if you will, is dropping to the bottom line. And I think while we continue to work very intently on LTVs and we’re seeing some very good signs that we highlighted in the prepared materials today. We’re really proud of back to back over 30% margins in our Senior business. And again, we feel like it’s durable. We continue to do that moving forward. Ryan, [to the specifics of fixed and variable.] [ph]
Ryan Clement: Yeah. I mean, we – as shared and going into this year, we did take a sizable expense cut in kind of this time last year, taking $40 million out. And we have been very disciplined with respect to the investments we’re making. One of those investments was in the infrastructure for SelectRx and the Healthcare Services platform. And, obviously we’re approaching breakeven, each marginal – each customer is coming on, and is driving strong marginal unit profitability. And so, we see the business inflecting on breakeven towards year end. But business has absolutely been focused on expense management.
Operator: We currently have no further questions. So I would like to hand the call back to Tim Danker, our CEO, for final remarks. Tim, please go ahead.
Timothy Danker: Thank you, Bruno. And thanks, everyone. I’ll just end by echoing Ryan’s comments about our excitement to share more with you about the quarters and years ahead. We’re really proud of what SelectQuote has accomplished over the past 5 quarters. It’s taken a lot of talent and hard work by our teams, but we really believe we’ve rebuilt a stronger and durable operation. We feel that we’re well positioned and in the process of capitalize on what remains a significantly large opportunity in health care for American seniors. So thank you all again. We look forward to speaking to you towards the end of the summer and sharing our outlook for fiscal 2024. We appreciate it. Thank you.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for joining. You may now disconnect your lines. Thank you.